Operator: Hello and welcome to the Switch, Inc.’s Fourth Quarter and Full Year 2021 Results Conference Call. My name is Alex, and I’ll be coordinating the call today.  I will now hand over to your host, Matthew Heinz, VP of Investor Relations. Over to you, Matthew.
Matthew Heinz: Thank you, operator. Good afternoon and welcome to Switch, Inc.’s fourth quarter and full year 2021 earnings call. On the call today are Thomas Morton, Switch President; and Gabe Nacht, Switch CFO. Today’s call may include forward-looking statements, including references to expectations, projections, or other characterizations of future events or market conditions. Actual results may differ materially from those expressed in our forward-looking statements, which are subject to certain risks, uncertainties, and assumptions. Our statements are made as of today, and we assume no obligation to update our disclosures. We described some of these risks in our SEC filings, specifically our Form 10-K in the section entitled Risk Factors. In addition, today’s call includes discussion of non-GAAP financial measures, which should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Please refer to today’s press release and supplemental package for further information including a reconciliation of non-GAAP measures. Our fourth quarter 2021 earnings press release has been furnished to the SEC as part of our Form 8-K and is available on our Investor Relations website at investors.switch.com. I will now turn the call over to Switch President, Thomas Morton.
Thomas Morton: Thank you, Matt, and good afternoon, everyone. Thank you for joining us today on our fourth quarter and full year 2021 earnings call. Switch accomplished another solid quarter as we continued to execute on our strategic growth initiatives and sales opportunities, driven by strong enterprise demand for our Tier 5 and environmentally sustainable data center infrastructure. We view 2021 as a transformational year for Switch as the company delivered upon its strategic priorities, including the successful acquisition and integration of Data Foundry. Coinciding with the launch of our fifth prime campus in Texas, known as the Rock. Switch also gained board approval to move forward with its plan for a REIT conversion effective January 2023, in addition to the advancement of construction on new data center capacity totaling 1.3 million square feet. We intend to build upon this momentum in 2022 with another year of solid execution as we progress towards our 2023 REIT conversion and the achievement of our five-year growth objectives presented at the Investor Day last November. Our fourth quarter and full year 2021 financial results detailed on slide 4 of our investor deck reflect strong top line momentum across all of our prime campus locations. Switch’s fourth quarter 2021 revenue growth accelerated to 26% year-over-year, and organic revenue growth was 17% year-over-year, excluding the contribution from Data Foundry. Full year 2021 revenue of $592 million was increased 16% year-over-year, which includes a $37.4 million revenue contribution from Data Foundry. Organic revenue growth was 10.4% for the full year, furthering switches strong track record of double-digit organic top line growth. We are especially pleased to achieve this milestone in 2021, despite our relatively constrained inventory position coming into the year and COVID-related delays in customer ramps that affected growth in the first half of 2021. Fourth quarter adjusted EBITDA increased 22% year-over-year to $85.8 million, including a $5.1 million contribution from Data Foundry. Full year 2021 adjusted EBITDA increased 17% year-over-year to $315.1 million exceeding the high end of our guidance range on stronger than expected margins. Our full year adjusted EBITDA margin of 53.2% increased 70 basis points compared to the prior year despite absorbing the lower margin Data Foundry assets, which contributed $11.6 million in adjusted EBITDA over seven months of operations. Gabe will provide additional details on our Q4 financial performance and 2022 guidance later on today's call. Our sales teams continue to execute favorably upon a strong demand pipeline, delivering fourth quarter incremental annualized revenue bookings of nearly $30 million, the second highest quarter since our IPO and exceeding the trailing 12-month average of $22 million per quarter. For the full year 2021, our incremental annualized revenue bookings totaled a record of $80 million, eclipsing the prior record of $76 million set in 2020. 2021 was also a record year for connectivity revenue bookings, with $29 million of annualized recurring revenue contracted, including $11 million signed during the fourth quarter. These bookings represent large scale network migrations by highly strategic customers, which I will describe in greater detail later in the call. New logo acquisitions remain solid, with 81 new logos added during 2021, including 19 first time clients added in Q4. Switch’s strategy to develop differentiated exascale technology ecosystems across the United States continues to drive increased customer engagement as enterprise clients have increasingly exhibited demand for our industry leading infrastructure across multiple Switch locations. As of December 2021, multi-campus customers comprised over 40% of total revenue, compared to 35% in the same period last year. Our sales activity also demonstrates the increasing diversity of our business, with just over 40% of our annualized revenue signings coming from Prime's other than Las Vegas, both in the fourth quarter and full year 2021. These PRIMES contributed an impressive 67% of our full year 2021 organic revenue growth with particularly strong growth in the Citadel and Keep Campus locations. By the fourth quarter of 2021 the Core Campus represented 62% of total revenue, followed by the Citadel Rock, Keep and Pyramid PRIMES, representing a combined 28% of total revenue. The remaining 10% of fourth quarter revenue was comprised of the core cooperative and other revenue, which is not allocated to a specific prime campus. This information can be found on Slide 17 of our investor presentation. I will now discuss some of our notable fourth quarter activity and key metrics across the Switch PRIMES. Switch signed a 2 megawatt agreement with an existing cloud software vendor at the LAS VEGAS 15 facility, representing nearly $4 million of annualized revenue. This represents our initial customer signing at our newest Tier 5 Platinum Data Center at the Core Campus, which remains on track to open in early Q2 of this year, due to an exceptionally strong demand funnel for this new facility, we have accelerated the build out of the building second sector to enable a back to back opening for the first two sectors of LAS VEGAS 15. This will facilitate expedited installations for tenants looking to quickly ramp up deployments and drive accelerated revenue recognition from our newest asset. We also completed a colocation and network services agreement with an existing Fortune 100 global technology customer totaling more than $6.5 million of incremental annualized revenue. This agreement will expand the customer's existing footprint at the Core Campus and also migrate significant portions of its telecommunications network to the core cooperative. Switch executed a multi-year expansion order with an existing global logistics customer for incremental colocation and telecommunications services at the Core Campus and Keep Campus. The contract represents approximately $5 million of incremental annualized revenue and over $40 million in total contract value. Subsequent to year end, the same customer signed an additional network deal that is expected to generate over $6 million of annualized revenue for Switch. This transaction will result in the migration of over 800 network locations to the core cooperative, driving a greater than 400% increase in the customer’s port bandwidth capacity and at the same time, reducing its current network costs by over 30%. This represents an exciting win for the Switch telecom sales team and further validates the power of our unique telecommunications purchasing cooperative. During the fourth quarter Switch completed multi-year renewals with two of its top 20 customers, representing a combined $8 million of annualized revenue and $36 million of total contract value. Subsequent to Q4, we completed a 4 megawatt expansion order with an existing global cloud service provider at our core campus. We expect this transaction to commence billing in the fourth quarter of 2021, with ramps extending through 2024. Also subsequent to Q4, we finalized another key renewal with a top five customer extending the client's term through 2025 and securing $46 million of total recurring revenue over the new contract term. And finally, in December, Switch announced that it received the highest environmental rating from S&P Global's new ESG Credit Indicator Report Card, Switch is the only company among more than 180 issuers in S&P’s Global telecom sector to achieve an E1 rating, including all other public and private peers in the United States data center industry. Now turning to our construction milestones and robust project pipeline. During 2021, we delivered a total of 40 megawatts of new power capacity and approximately 1,600 cabinet equivalents across the portfolio. This includes the delivery of one new sector and 30 megawatts of additional power at Tahoe Arena 1 and the second sector, plus a 10 megawatt power system at Atlanta 1. All of the aforementioned infrastructure delivered in 2021 was substantially committed by customer contracts prior to be placed into service. Turning to our 2022 development priorities, we continue to make significant headway on active development projects in Las Vegas, Tahoe Reno and Atlanta, totaling 1.3 million square feet and 150 megawatts of power capacity. These three facilities represent approximately half of our 2022 capital expenditures budget. Our most immediate priority is the delivery of LAS VEGAS 15, which is expected to be open for customer deployments in the second quarter of 2022. As previously discussed, we have secured a two megawatt anchor customer in Sector one and possess strong visibility in the sales funnel to have significant portions of sectors one and two committed by mid-2022. We are also engaging in customer discussions regarding pre-sale commitments in TAHOE RENO 2 and Atlanta 3, which are scheduled for completion in the first quarter and second half of 2023, respectively, as can be seen on slide 7 of our investor deck Switch has a total of approximately 4 million square feet of data center capacity that is on track to be developed through 2026. This represents an 80% increase to the 5.1 million square feet of data center capacity currently in service. For definitional clarity our planned development projects on slide 7 includes seven data centers scheduled for completion between 2024 and 2026, in order to maximize cost efficiency and accelerate the delivery of future capacity. We are completing the underground utility work pad completion and additional site preparation for subsequent facilities spanning all five prime campus locations. The preliminary work on these seven facilities represents approximately 20% of our 2022 CapEx budget, and the remainder will be incurred closer to the anticipated in-service dates in accordance with our real time evaluation of customer demand. I will now turn the call over to Gabe to discuss our financial results. Gabe?
Gabe Nacht: Thanks, Thomas. Today, I'm going to review our financial results for the fourth quarter and full year 2021 and discuss our outlook for 2022. Starting with Slide 4 of our investor presentation, Switch reported full year 2021 total revenue of $592 million, growing 15.7% compared to the prior year revenue of $511.5 million, excluding a $27.4 million revenue contribution from Data Foundry, Switch revenue increased 10.4% year over year to $564.7 million on an organic basis. Full year 2021 adjusted EBITDA was $315.1 million, increasing 17.4% from the prior year. Adjusted EBITDA margin was 53.2%, reflecting a year over year increase of 70 basis points. Now turning to Slide 5, Switch reported fourth quarter 2021 revenue of $161.4 million, an increase of $33.6 million, or 26.3% compared to the fourth quarter of 2020. Excluding Data Foundry revenue of $12.1 million, Switch fourth quarter revenue totaled $149.3 million, representing 16.8% organic growth compared to the fourth quarter of 2020. Staying on Slide 5, adjusted EBITDA totaled $85.8 million for Q4 2021, compared to $70.6 million in Q4 2020, reflecting a margin of 53.2% and year over year growth of 21.6%. We continue to focus on finding operational efficiencies throughout our business, and we believe our fourth quarter results reflect this initiative. Excluding Data Foundry’s adjusted EBITDA contribution of $5.1 million, Switch adjusted EBITDA was $80.8 million, reflecting a margin of 54.1%, compared to a margin of 55.2% in the year ago quarter. Compared to the prior year Q4 2021 margin included an increase in power costs, partly offset by efficiencies in labor and SG&A expense. In the fourth quarter of 2021 Switch reached a $35 million settlement paid in stock related to a lawsuit filed against the company by Cobalt data centers, which failed and ceased operations in or around 2015. We are pleased to have moved on from this legal matter, which has been pending since 2017. As a result of this charge, Switch reported a fourth quarter net loss of $18.5 million compared to net income of $15.3 million in Q4 of 2020, excluding charges related to the settlement and a $4.2 million gain on interest rate swaps, net of tax provision and non-controlling interest. Our adjusted net income was $4.1 million in the fourth quarter, or $0.03 per diluted share. Lastly, on slide 5 customer churn was 0.5% in Q4 2021, compared to 0.4% in the year ago quarter. I will now provide a summary of our fourth quarter operating results. Fourth quarter cost of revenue increased by $23.6 million compared to the year ago quarter, of which $8.3 million was attributable to data foundry. The $15.3 million increase in Switch cost of revenue was primarily attributable to higher power costs and depreciation. Excluding depreciation, and amortization and equity based compensation Switch’s Q4 adjusted cost of revenue was $42 million, increasing $9 million compared to the year ago quarter. Excluding the non-cash litigation charges, fourth quarter SG&A expenses were $43.7 million, compared to $31.6 million in the year ago quarter. Excluding depreciation, and amortization and equity based compensation Switch’s Q4 SG&A increased by $8.2 million, primarily attributable to litigation fees incurred prior to the settlement and higher professional fees related to our previously announced reconversion. Switch reported a $10.8 million loss from operations in Q4 2021 compared to income from operations of $26.3 million in Q4 of 2020. In addition to the legal charges, the year-over-year reduction in operating income was partly attributable to increases in depreciation and amortization and power costs. Interest expense increased by $4.4 million year-over-year to $13.5 million in Q4 2021, primarily driven by higher debt balances due to the utilization of our revolver and the issuance of $500 million in senior unsecured notes in Q2 of 2021. Adjusted funds from operations or AFFO was $68 million in Q4 2021, a 22% increase compared to $55.6 million in the year ago quarter. AFFO per diluted share was $0.27 compared to $0.23 in Q4 2020. Looking now at our growing exascale portfolio on slide 8, as of December 31, 2021, the five Switch Primes had capacity for approximately 28,600 cabinet equivalents within our open sectors, of which 93% were committed under contracts compared to 88% in the year ago quarter. Building cabinets totaled 22,800 at year-end, equating to 80% of our total in-service cabinet inventory. Now turning to bookings on slide 15. During Q4, we executed 545 contracts, representing total contract value of $163.3 million and annualized revenue of $47.6 million at full deployment, inclusive of both renewals and sales of incremental services. Excluding renewals, Switch signed $29.5 million of incremental annualized recurring revenue in Q4, the second highest quarterly bookings since our IPO. Now looking at revenue attribution on slide 17, total co-location revenue for the fourth quarter of 2021 was $128.7 million, up 23% compared to $104.8 million in the year ago quarter. Excluding $7.8 million in co-location revenue from data foundry Switch co-location revenue grew 15% year-over-year to $120.8 million. Total fourth quarter connectivity revenue was $29.7 million, increasing 38% from the year ago quarter. Excluding Data Foundry connectivity revenue of $2.9 million, Switch fourth quarter connectivity revenue increased 2% sequentially and 23% year-over-year to $26.8 million on an organic basis. Other revenue, including professional services, accounted for $3 million in Q4 of 2021, which includes approximately $1.4 million from Data Foundry. Now turning to our key revenue drivers on slide 20. As of December 31, 2021, our recurring revenue backlog stood at $43 million, up from $37 million in the prior quarter. The sequential backlog increase was driven by our nearly $30 million of incremental revenue signings, offset by approximately $23 million of annualized revenue commencements. We expect a $23 million incremental revenue contribution from backlog in 2022, which is factored into our current guidance. On a consolidated basis, Switch had approximately 22,800 billing cabinet equivalents across its five prime campus locations. Our consolidated average monthly recurring revenue per cabinet was 2,358 in Q4 of 2021. Excluding the Data Foundry Assets, Switch’s MRC per cabinet was 2,580 in Q4, representing a 45 year-over-year increase. Switch had more than 10,500 billing cross connects as of December 31, and cross connects accounted for 45 of total revenue in Q4 of 2021, reflecting 24% year-over-year growth in cross connect revenue. Now, looking at capital expenditures on slides 21 and 22 growth CapEx excluding land purchases was $110.7 million for the fourth quarter of 2021 compared to $94.5 million in the year ago quarter. Our CapEx spend was slightly above the high-end of our full year guidance range due to our efforts to expedite construction and accelerate certain equipment purchases to meet the strong client demand currently reflected in our backlog and our near-term sales funnel. Given the high utilization rates across our existing prime footprint, our investment priorities are particularly focused on meeting or exceeding the target delivery dates on facilities in active construction pipeline, including Las Vegas 15, Tahoe-Reno 2 and Atlanta 3. Maintenance capital expenditures were $2.8 million for the fourth quarter of 2021, or 1.8% of revenue, compared to $3.4 million and 2.7% of revenue in the same quarter last year. Switch’s low ratio of maintenance CapEx to revenue is attributable to our proprietary designs and meticulous approach to data center construction. Looking now at the balance sheet on slide 24, as of December 31, 2021, the company's total debt outstanding net of cash and cash equivalents was $1.63 billion. This results in a net debt to last quarter annualized adjusted EBITDA ratio of 4.7 times, down from 5.0 times in the prior quarter. As of December 31, 2021, Switch had liquidity of $411.4 million, including cash and cash equivalents and borrowings available under our revolver. As of December 31, 2021, there were 243.5 million total shares outstanding, including 145.2 million Class A shares and 98.3 million Class B shares. Including dilutive options and unvested RSUs, our weighted average diluted share count was 249.0 million for the fourth quarter. As disclosed in our recent 8-K filings, during the fourth quarter of 2021, our members redeemed 6.2 million common units, resulting in the issuance of an equivalent number of Class A common shares, including member redemptions totaling 2.6 million in January and February, our Class A public float now represents approximately 61% of total shares outstanding. Now turning to 2022 guidance, which can be seen on page 25 of our investor presentation. We expect revenue in the range of $660 million to $674 million, reflecting 13% growth of the midpoint. We expect adjusted EBITDA of $345 million to $357 million reflecting an adjusted EBITDA margin of 52.6% at the midpoint. Lastly, our guidance range for capital expenditures, excluding land acquisitions is $510 million to $560 million as we continue to accelerate new data center expansion across all five of our prime campus locations. Regarding our 2022 guidance, please note that our committed cabinet utilization is 93% across the portfolio, including 95% at the core campus and 99% at the Citadel campus. Our guidance for the year reflects the timing of Las Vegas 15 opening and the expected installation of our robust booked but not build backlog. As demonstrated by our Q4 bookings performance and strong wins already signed in 2022, we are accelerating our development activities across the primes and remain encouraged by the strength of our pre-leasing activity at our Investor Day in November of last year we shared our multi-year plan and today we have even greater conviction in achieving these targets. And now I will turn it back to Thomas for some closing remarks.
Thomas Morton: Thank you, Gabe. We firmly believe that Switch is favorably positioned for the rapid digital transformation among enterprises as they continue their migration to hybrid multi-cloud architectures. Our current sales funnel is the strongest in the company's history, and we are working diligently to ensure the timely delivery of additional data center capacity to meet this strong level of demand. On behalf of our entire management team, we would like to take this opportunity to thank our employees, customers, partners and our shareholders for their continued support of Switch. We would now like to open the line for questions.
Operator: Thank you. We will now begin the Q&A.  Our first question for today comes from Erik Rasmussen of Stifel. Erik, your line is now open.
Erik Rasmussen: Yeah. Thanks. Thanks for taking the questions. Maybe just starting with the outlook, maybe you can provide some relative puts and takes it where you think the revenue shortfall lies compared to consensus. Obviously, 13% is above the peer group. But as you know, I think if we look at your 4Q run rate for revenue relative to the mid-point, it would seem that guidance is conservative. You're just trying to understand sort of what the driving factors there to the outlook?
Thomas Morton: Yeah, thank you very much, Eric, a couple of initial thoughts. First of all, these are, you know, relatively uncertain times in the market and politically uncertain times. So we wanted to put out a number that we had a very high degree of confidence that we would hit and that as we progress through the year, we may gain confidence in different numbers and then we will share those as we go through the year. As the particular monitor – numerical factors, I’ll let Gabe weigh in on those.
Gabe Nacht: Yeah, Eric, it's primarily based on our expectations for filling Las Vegas 15, as you know, and as you see in the numbers, we're essentially sold out on our campus locations where 95% utilized in Las Vegas, where 99% utilized in the Citadel, where 99% utilized in Grand Rapids. And we're building as much space as quickly as we possibly can. Las Vegas 15 is about to open. Thomas announced we've already signed our first two megawatt customer in Las Vegas 15, but that will ramp in and we have ongoing discussions with additional customers, in fact that same customer is looking for an additional 2 megawatts as well as others. But by the time they ramp in, revenue impact will be more towards the back half of the year. But we do have upside potential on the telecom side. We've signed some very large telecom deals recently that we've discussed publicly. And of course, that's not subject to any space constraints. And we want to, as Tom said, we want to make sure that we're starting out with numbers that we have high degree of confidence in and then we will see how the year progresses.
Erik Rasmussen: Great, understand. And then maybe just the EBITDA margins. You know, they were strong and it looks like the EBITDA margins, they were strong and it looks like the outlook again is for, I think our performance here. So maybe just highlight similar contributing factors to that outperformance versus consensus. I know you have made a couple of comments in the prepared remarks, but maybe any additional color would be appreciated?
Thomas Morton: Sure. We continue to integrate Data Foundry. And as we integrate on that and execute on that integration, we're finding increased operational efficiencies that improve our overall margins. And that leads to lower labor and G&A costs as a percentage of our revenue. And our forecast professional fees in 2021 also came under guidance due to the settlement of the Cobalt litigation, which I mentioned in our opening remarks. But we're expecting some increase in the power costs in 2022 that will be offset in large part by increases in power revenue. And we continue to gain efficiencies in the way that we operate our campuses and leveraging the fact that we have single prime six of them that we are able to use at scale and thereby achieve operational efficiencies.
Erik Rasmussen: Great, thanks. Good luck.
Thomas Morton: Thank you.
Operator: Thank you. Our next question comes from Michael Rollins of Citigroup. Michael, your line is now open.
Michael Rollins: Thanks. Good afternoon. I was curious…
Thomas Morton: Good afternoon, Mike.
Michael Rollins: Hello. Two things, if I could please. The first question is when you look at the existing facilities that you already have in service, how much power capacity is available that hasn't yet been purchased or deployed on behalf of your customers and what kind of incremental revenue opportunity over time can that provide for Switch if customers start using more of that power capacity in the same space that they're operating within? And then just a separate question to follow-up on some of your comments earlier, given what you were describing on inventory, should the market be mindful that there might be one or two quarters in the future, that might not have  because the supply is constrained? Are you at a point leasing activity is beyond that, and you don't have a constraint in terms of what you can sell? Thanks.
Thomas Morton: Sure, Mike, appreciate that. And the first on to the how much power capacity is available. We have some information that we put out on that point. But just to give you an example, in NAP 7, that building is designed to carry 100 megawatts of power capacity. We currently have deployed 70 megawatts inside of that building. That leaves 30 megawatts of power capacity remaining to be sold inside of that facility, allowing customers to refresh in place and thereby increase revenue from those customers without having to take incremental space. As we move into our newer facilities, customers are becoming more efficient and consuming larger portions of that power capacity as those customers are operating at densities that are greater than the densities that we're seeing at our legacy data centers.
Gabe Nacht: Now that being said, Mike, we don't put in the power capacity until customers actually need it. And part of Rob's designs are modular power systems that can actually be put outside of a building and plugged in if we need to. So we have almost indefinite capacity to expand power in the existing shells. When we talk about our utilization numbers, as you know, we're talking about cabinet capacity, essentially floor space and we are pretty full. With regard to your second question on the bookings and the potential constraints in bookings because of space. Well, we do have three sectors in Las Vegas, 15 that are available for bookings and we are already talking to customers about Reno 2 and Atlanta 3 because customers are looking that far in advance for what they might need for space.
Operator: Thank you. Our next question comes from Colby Synesael of Cowen & Company. Colby, your line is now open.
Unidentified Analyst: Hi. This is Michael on for Colby. Two questions, if I may. First, we've seen a scene in the sector of record leasing among the public peers. And now you're talking about essentially the strongest pipeline that you've ever seen. Just want to break down the pipeline and get a better sense of whether you're seeing a greater contribution from hyperscalers in that pipeline? And then second, to the extent a hyperscale were to want to acquire land from Switch to develop a data center adjacent to your campus, is that something that you'd be open to? Thank you.
Thomas Morton: All right. So sounds like, Mike, you might have a prospective customer sent to us. But the first – the first statement is as to hyperscalers, what percentage of the mix they are. They tend to be about a consistent percentage of the mix. We target around 20% of our revenue coming from hyperscalers and those hyperscalers due to significant deployments with us in terms of size. But they pay retail rates and they pay those rates because they want access to our customer ecosystem and they see value in that, as well as seeing the value in our data centers so we continue to attract a variety of hyperscalers in the proportions that we are, believe are well balanced for our ecosystem and at rates that are profitable for us to engage with those hyperscalers. As to land, if somebody came to us with a request for a build-to-suit, we definitely have some land, particularly in TAHOE RENO and we would entertain a discussion on building a build-to-suit for them on that basis.
Gabe Nacht: And as Thomas had talked about in his remarks earlier post Q4, we signed an additional 4.5 megawatts with a cloud provider that would be considered a hyperscalar in the general marketplace. But they're not taking wholesale power shell from us. They are taking the exact same product that every other customer takes. They're taking the same technology, the same resiliency, and they're paying the equivalent rate that a non-hyperscale cloud company would pay for that level of utilization. And because they want access to the customers, our customers want access to their cloud. The cloud is a necessary component to our ecosystems and having a true hybrid cloud, low latency, highly secure availability zone for all of the cloud companies is super important to our customers and to them.
Unidentified Analyst: Perfect. Thanks for the color, guys.
Thomas Morton: Say hello to Colby for us.
Operator: Our next question comes from Brendan Lynch of Barclays. Brendan, your line is now open.
Brendan Lynch: Great. Thanks for taking the question. Thomas, you had mentioned one customer kind of relocating 800 network locations. Maybe you just give us a little bit more relocating 800 network locations. Maybe just give us a little bit more detail on that and to what extent maybe other customers would follow suit?
Thomas Morton: Yeah. That is the continuing elevation of the core cooperative. We are attracting as we attract more and more enterprise customers relocating their enterprise hubs with us. They are bringing their telecommunications needs to us as core continues to evolve and power and breadth and scope. It is attracting even larger potential deployments. This was one of the largest deployments we've ever had the opportunity to do. We're very pleased to have done it with a large colocation tenant or customer, and we look forward to doing future transactions of this size and greater in the coming years, and we've had a few of them in the past, last year, we talked about a large network transfer agreement that we did with a major logistics company that is also a major colocation company. And then we've also connected a major retailer with 500 plus of their retail locations through the core cooperative, and they are also colocation customer, but they spend more with us on telecommunications. But with regard to that customer that Thomas just mentioned, I want people to really understand the power of our cooperative. We are giving them over 400% additional bandwidth capacity while saving them 30% on their existing spend. If one were to look at what they would otherwise have spent for that 400% capacity increase, the savings would have been more like 80%. So it is an extremely powerful tool that enterprise customers are beginning to understand how to use more effectively.
Brendan Lynch: Great. That's very helpful. Maybe just one other question on power and your ability to increase rates in reaction to increased power costs, Is that only a renewal? Can you do that in real-time? And if I understand correctly in the past, at some point you've been contractually allowed to raise prices but have not done so remained at the market level. If you could just give some color around that and as the power price become more pertinent?
Thomas Morton: Yeah. Our contracts all provide us with the ability to proportionally increase rates commensurate with increases that we receive from utility providers. So the risk, if you will, of power rate fluctuations is borne by the customer who is the consumer of that electricity. In the past, there are certain fluctuations that are we believed to have been short-term in the marketplace and we have chosen to absorb those costs rather than impact customer relationships. That was a business strategy decision versus a contractual right decision. But as a going forward and overall method or an overall theme is that we have the ability to fluctuate power costs with our customers commensurate with the costs that we are seeing from our providers. And in the past, if you look historically for the past 15 plus years, power costs have actually been going down. We typically do our annual rate increase for co-location rates in the March timeframe. When we saw power rates spike last year, we did a separate increase of our power rates in the August-September timeframe and reported that in our Q3 calls.
Brendan Lynch: Great, thanks for the color.
Operator: Thank you. Our next question comes from Brett Feldman of Goldman Sachs. Brett, your line is now open.
Brett Feldman: Yeah, thanks for taking the question. So, you know, the CapEx budget that you outlined for this year, came in higher than I think we and others had expected. And you articulated why during your remarks, you're responding to a strong demand environment you currently are very highly utilized and so you seems like you're pulling forward. So, I guess the question is, is that the right way of thinking about it and how much runway for growth does that create for you? In other words, this year is an interesting year where you're going to have a little bit of a deceleration revenue, a pull forward of CapEx. Do we end up on the other side of that as we go into 2023, or is it still kind of a moving target?
Thomas Morton: Yeah. We actually do end up on the other side. But we presented a 10-year build plan at our Investor Day. And we expect to keep building and building and filling facilities as we build them. And we're seeing robust demand for our product. We believe we can fill our facilities as fast as we can build them. You're correct that, this year, the only building that is opening up is that Las Vegas 15 facility. But next year, we’ll have Reno 2 in Atlanta 3 opening in between those three facilities. That's 1.3 million square feet of space that will be available for sale. And then we've got another 2 million behind that that will come online between then in 2026. So we are building very, very aggressively because we see that demand. And if you recall at our Investor Day back in November, I presented a slide that showed how a building typically fills. We’ll open up a sector and we'll typically get that sector fully committed in terms of sales, either as it's opening or certainly within six months. But then that sector will fill over an 18-month horizon, typically as customers ramp it. Meanwhile, they'll be selling the second sector, which will then also have that same build rate and the third sector, which will also have that same build rate. So a building reaches its prime growth period in months 12 through 24 of its activities. So if you sort of model that out between LAS VEGAS 15, RENO 2 and Atlanta 3, you'll see that, we - as we fill those facilities, we see accelerated growth in 2023 and even greater accelerated growth into 2024.
Brett Feldman: Yeah. That's great color. And maybe it's a follow up on an earlier question, it goes around EBITDA margins, obviously the guidance implied something that I think is higher than we would have guessed and you just sort of acknowledge that you were finding more efficiencies, is there anything more you can add to that and is it something that's maybe just an incremental step up in efficiency gains this year and things will start to I don’t know grow in a more predictable glide path after that or do you think this is something you can continue to do?
Gabe Nacht: Well, we did say that our long term target is a 55% EBITDA margin. And so to get there, we've got to keep increasing our margins annually, the guide for next year is a bit down from where we are today because we've got an additional five months of Data Foundry and they do operated at a lower margin. And as buildings open, we shift what is capitalized expense to operating expense. But then, as those campuses continue to fill out, we see the efficiency of our campus model. So as we build the next facilities in RENO and in Atlanta and in Grand Rapids and in Texas, we'll continue to gain efficiencies. That's why we're confident we'll reach that 55% milestone.
Thomas Morton: Yeah. Brett, the short answer of your question is yes. We will continue to seek and believe that there are additional efficiencies for us to monetize inside of our operations, and we do have a long term target of 55% EBITDA margin.
Operator: Thank you. Our next question comes from Nate Crossett of Berenberg. Nate, your line is now open.
Nate Crossett: Hey good evening. Maybe just one on the reconversion timeline. What should we kind of be watching this year in terms of milestones for that? And just an update on maybe the E&P potential distribution and your thoughts on the TRA would be helpful.
Thomas Morton: Yeah. So we are on track with our reconversion. We plan to effectively operate as a REIT as of January 1, 2023, and we are working with our various outside advisors to complete that conversion in the most effective and efficient manner possible. There will be some, obviously some outside expenses for professional and consulting fees in connection with that conversion process. But we are on place and on track and on target and to complete the process.
Gabe Nacht: Yeah. Nat, as we talked about in previous calls, this is a problem. Most companies take 12 months to 24 months to go through this conversion, because there's a lot of work to be done. We have to go through each of our income streams and assets and determine which ones are going to be REIT qualifying, which ones aren’t, and which ones will go with TRS, and then what sort of cash flows will come from those and determine how we move forward. So we're in that process right now. We are, you know, it's only February. We do did say that we would be taking the year to make this conversion. So we're deep into the weeds right now of that and we'll keep updating the market as we move through the process. As far as the E&P distribution, I think we've stated publicly in the past that we don't think the E&P is going to be a material distribution. We continue to believe that will be the case. And as far as the TRA, again, that is going to be something that we talk about after we go through the nuts and bolts of breaking apart the assets and income streams, because that's going to determine what benefit, if any, there will be to the TRA holders and guide us in our strategy on what we should do with that TRA. But as we also stated publicly in the past, we don't have to do anything. There's nothing that contractually obligates us to do anything with the TRA we can continue as is, but obviously we want to do the right thing for all of our constituents.
Nate Crossett: And I'm just thinking…
Thomas Morton: Perfect.
Nate Crossett: How large TRA is and then the CapEx spend guidance in for this year. Is there a need for equity? I know you haven't done it since the IPO, but or maybe just you could talk about just the leverage levels this year?
Gabe Nacht: Yeah, we're – we are not seeing a need for equity this year that we don't expect to be a cash taxpayer again this year. So while the TRA is a balance on our balance sheet, it is typically paid out over a 15 to 25 year period. It has a very, very long tail and only gets paid out to the extent where a cash taxpayer, which we don't expect to be this year. So that that that isn't going to create a funding need or a cash need for us as far as a TRA payment is concerned. With regard to how we operate as a REIT, there's still a lot of decisions to be made about the assets that are going to qualify and not qualify. What's going to happen when the TRA, what depreciation lives we're going to use and what that ultimately means for taxable income in our required distributions as a REIT. But we have liquidity to fund our build plan this year. We don't see any need to go to the markets for any additional funding.
Operator: Thank you. Our next question comes from Frank Louthan of Raymond James. Frank, your line is now open.
Frank Louthan: Great. Thank you. Have you seen any acceleration of any sales cycles over fierce concerns in your customers of finding availability or any supplies  issues and moving them back more quickly? And then on the Austin market, when do you – maybe just give us an update on any broken ground in the land on that campus to build some of your own sort of style facilities that have already begun 
Thomas Morton: Yeah. Perfect. Frank, thank you. And as to acceleration, yeah, we are seeing an acceleration in our pipeline. We are also seeing customers because when they launched - when they logged with us, they do it ramps, where they will deploy inside facilities over a course of time. We've said before that they tend to sign up for their minimum timeline for loading into the facility. And then there is a tendency to accelerate that during COVID. We didn't necessarily see that acceleration, though we saw great signings. We are now beginning to see that acceleration come back and people start to be more comfortable and move into our facilities at a greater rate. I'm not so sure that that's a fear-based item, but it is certainly something as we gain increased traction with enterprises and they see more and more benefit financially and infrastructure wise to being in our facilities. There is an increased uptake and need for our facilities. So we're happy regardless of motivation of the increased demand for our facilities and the fact that we are pre-selling into facilities that haven't yet been built. As to Austin, we have started building on Austin 4 on the Dell campus and we have in our investor deck we have a timeline of when those facilities will be coming online, and I'd refer you to that for all the facilities that are coming out in the timelines there.
Gabe Nacht: Yeah. Frank, let me just jump in on one more thing. I think your question is actually a really interesting one because historically Switch not being a wholesale data center company has not done a lot of pre-leasing of our buildings. We tend to open up a building and most of our sales come from existing customer expansion, so we know that they're going to expand into our buildings. But, you know, with Las Vegas 15, we're already selling into that. It's not open yet. And I think your point about customers thinking about whether it's their own supply chains or just more strategically about planning, they're thinking longer term. And so for customers that are looking for larger deployments, 3 megawatts, 5 megawatts and beyond, they're starting to talk to us much earlier. As I think I mentioned in my remarks earlier, we're already talking to customers about Reno 2 and Atlanta 3. These buildings won't be open until 2023, and we've already got customers that are very interested in taking space in those facilities. That's not something that we've historically seen. So, we find that very encouraging for the demand for our product. And with regard to Austin, we're already in the permitting phase. We're working as fast as we can on building on that Dell land.
Frank Louthan: Hopefully, that all turns into upside to your guidance. All right, thank you very much.
Thomas Morton: I appreciate the well-wishes.
Operator: Thank you. Our next question comes from Sami Badri of Credit Suisse. Sami, your line is now open.
Sami Badri: Thank you very much. So I have two questions, and they're interconnected to each other, no pun there. The first ones on the CapEx guide that you guys just issued. A lot of equipment providers in the actual industry are getting a bit pressured on costs, and it's because they have contractual agreements with a lot of customers to lock in pricing over long periods of time. Some of those equipment providers have seen a bit of adverse effects of that as costs of materials and labor have gone up quite a bit without pricing being revised. For the first part, the first question I have is of your CapEx guide that was revised up versus what a lot of analysts were actually modeling. How much of that is just because things just cost more and therefore your CapEx is therefore just higher as a function of equipment being more expensive. So this is just question number one. And then tie the question number one, going to question number two is when we look at your revenue growth for the year, how much of that growth is volumetric versus actual pricing and renewals, right. And we just need to kind of understand the curve here, what's going on because we would look at this environment as being a high demand very conducive for your business as far as limited supply with your product being in demand. So could you just frame that out for us as well?
Thomas Morton: Sure. Well, first of all, on the CapEx guide and the increased costs. One thing that is great about Rob Roy design is that we have people building air handling units and other equipment for us that is very unique. And so where as people that have just the generic product are seeing hyperscalers and others come in and demand that product and pay premiums for it, and there is a demand for a limited amount of supply because our product and our HVAC units, et cetera, are one offs and built just for us. There isn't the market competition for our goods, and we are able to purchase enough volume to keep customer - suppliers busy on a particular supply chain. So we are not seeing the same increase in cost that others might be experiencing because there isn't the market for our goods that there would be for the goods that are sold to others. So there is some catch in there to make sure that we've covered pricing, but it is not as incremental as others might be seeing, which may allow us to increase the profits that we have targeting again, the trend towards that 55% that we spoke to earlier. As to revenue growth I’d like Gabe talk to..
Gabe Nacht: Yeah.
Sami Badri: How much of that is volumetric enterprise?
Gabe Nacht: And on the CapEx side, Sami, most of that increase in our guide is because we're building more and we're building fast as quickly as we can. It really isn't driven by price increases. It's driven by just additional construction going on, on all of the campus locations. Because if you look at our utilization, we've been very fortunate, it's a nice – it’s a nice problem to have. But people like what we build and we're full. As far as our revenue growth, most of what we're expecting for next year is going to come from volume. It's going to come from LAS VEGAS 15, and it's also going to come from our backlog is our backlog fills it into our existing space, which is committed, but not yet billing.
Sami Badri: Got it. I have one other follow up and it has kind of, well, actually two quick follow ups. One actually talking to a prior question that was asked regarding reconversion costs in the TRA. And I guess, we don't need to know, at least maybe you guys have that, you have those numbers, I guess you would tell us, but I guess what we'd really like to know is maybe timing. Do you guys have like a timing roadmap on when you're going to communicate, what you're going to do with the TRA and when you're going to absorb the re-costs for the conversion? And then not related to that and if we look at the data foundry, our MRR per cabinet or MRC per cabinet, is there going to be an effort to increase MRC per cabinet in the data foundry asset? I know this question has been asked a couple of times in the past, but I guess as we saw demand come in, it's looking like you guys are in a little bit of a better position looking like you guys are in a little bit of a better position. I’m just trying to know a little bit more of what you guys are going to do?
Thomas Morton: Sure. As far as the REIT reconversion costs and when we expect to absorb them, the professional fees related to those are being absorbed right now. We're working with our legal teams, with our tax teams, going through the conversion process. So, we have signaled that there will be additional professional fees this year as we go through that conversion process. With regard to the timing of the TRA, as I just finished speaking to, there's a lot of pre-work that has to be done to get to the cash flows to determine what that value is to TRA holders, if any. And that will help determine what we do. We expect to be able to communicate that toward the second half of this year and are working diligently toward that. As to Data Foundry MRC per cabinet, I mean that asset, can – it's able to supply so much power. It's not one of the Switch assets. So it is – it has limitations on the amount of power it can provide to – per cabinet. We always look to increase the revenue we can her cabinet. And there is one way to do that that is not currently in the Data Foundry model as it existed before we bought it. And that's core. We have 400 new customers inside of Data Foundry who we look to bring in to the core cooperative and show them the benefits thereof and increase the monetization from those customers as a result of their participation in the telecommunications cooperative.
Sami Badri: Got it. All right. Thank you very much.
Thomas Morton: Thank you, Sami.
Operator: Thank you. Our next question comes from Eric Luebchow of Wells Fargo. Eric, your line is now open.
Eric Luebchow: Hey. Thanks for taking the question. So I was looking at page 23 of your supplemental. It looks like a couple of projects were pushed out a few quarters. Las Vegas Sector 3 pushed back to early 2024 TAHOE RENO pushed out a couple of quarters versus last year Q3 presentation. So anything to call out in terms of delays in permitting or development that are specific to those timeline changes?
Thomas Morton: Yeah, I'm not sure that's the case. You know, we've actually Sector 2 of Las Vegas 15 is going to be open earlier although the power system for that won't be supplied until Q3. But because of our ability to port power from one power room to any other cabinet in the building, we're able to begin selling into Las Vegas Sector 2 in advance of that power system, providing being provided in Q3. As far as Las Vegas Sector 3 you know that's slated for Q1 2024 today. If we can bring that earlier, we will, particularly if we're seeing the demand for that.
Gabe Nacht: Yeah, the answer -- the short answer Eric, is that we're trying to build everything as fast as we can to meet the demand of our customers as we get incremental EBITDA it will allow us to expend more capital and stay within the constraints of our leverage covenants. And we will absolutely be doing everything we can to move demand forward or move product forward into the pipeline as fast as we can.
Eric Luebchow: Great. And just one follow-up for me. Can you give us any color at all and your expectation for AFFO or AFFO per share this year? I know it's not a metric you guide to, but you did provide a multi-year guide on at least AFFO. Anything you can provide some of the moving pieces between EBITDA and AFFO per share. Is that something that you know we should see scale it, you know, greater than 10% again this year?
Gabe Nacht: Well, we are expecting EBITDA to grow quite nicely next year, and we're not expecting to issue equity at this point. So, you know, I think you can do the calculation on where you would think AFFO per share will shake out, but we do expect it to continue to increase similarly to EBITDA.
Operator: Thank you. Our next question comes from Ari Klein of BMO Capital Markets. Ari, your line is now open.
Ari Klein: Thank you. Maybe just follow up on the CapEx outlook for this year, it's a bit above what you provided at the Analyst Day back in November. Appreciate that demand is quite strong, but did something change from then until now that that has that above the range?
Thomas Morton: Yeah. Ari, we talked at the Investor Day that we expect CapEx over the long-term to average $400 million to $500 million per year. We still expect that to be the case. Next year is going to be a bit higher than that. And really, what changed is we booked $30 million of incremental revenue and we want to get that revenue in. So we're responding to customer demand. And as I've said, we're already talking to customers about Reno2 and Atlanta 3. So the demand is out there and we want to make sure that we have as much availability as we possibly can to meet that demand.
Ari Klein: Got it. And then maybe just on churn, it looked like it was a tad higher than normal and also looks like at the rock campus committed in those cabinets ticked down a little bit. Can you just - is there something worth calling out there? Did something happen in the quarter?
Thomas Morton: No. Yeah, no. When you say a tad higher than normal, I think we went from 0.4% to 0.5%. So it's still ridiculously low. I think it's just a matter of whatever customer happened to leave in that quarter, which very, very rarely happens as know. With regard to the rock cabinets, when we purchased Data Foundry, they had a small outpost in a Virginia facility that they were subleasing from Equinix that we are going to be exiting. So that's what's causing that.
Ari Klein: Thanks.
Operator: Thank you. Our next question comes from Richard Choe of JPMorgan. Richard, your line is now open.
Richard Choe: Hi, I just wanted to follow up on the Data Foundry, the colocation revenue fell to $7.8 million in the quarter from $8.3 million, I think, last quarter. Is this kind of the low point for the Data Foundry revenue and should we - what are the expectations for any guidance for 2022 and is that driving or help drive the margin improvement? And then I have a follow up.
Thomas Morton: Yeah. We expect revenue from Data Foundry to increase and grow as customers that we have signed for, continue to deploy there, and as I said before. We expect to monetize some of the Data Foundry people as they join into the core cooperative and that will increase the revenues from those facilities. And we will be building, of course, the Austin 4 facility, which is located on the Dell campus.
Gabe Nacht: And with regard to Data Foundry, I think we spoke earlier that there was a large company that took another 3 megawatts in that last part of the Data Foundry facility that was yet to be built out. That will be coming online this quarter and the customer will be ramping in throughout the year. So we definitely expect Data Foundry revenue to grow in 2022. But, their facilities only operate at a lower density than typical Switch facilities 2022. So their revenue per cabinet is lower. But we do expect revenue to grow out of Data Foundry. And as far as margin improvement, we are ahead of the $2 million of run rate synergies that we had spoken to the street about. We're pushing $3 million at this point. So yes, that is some of the cost of the margin improvement.
Richard Choe: Great. And then why is it talk a little bit more about the committed versus billing, because anything you look, you're kind of committed at 99% in the Citadel and a very high level in the Keep. Last quarter, you said it all went up from 54%, going to 64% or 10 percentage points gain there. But keep went up from 53% to 89%. So I guess in guidance like, are you expecting to be at 99% billing if everything was kind of stays static and they moved in? Kind of what kind of uptake are you expecting from the Citadel from that 64% over the year?
Thomas Morton: Yeah, the reason that we're at 99% is and the difference between committed and our billing is our backlog. That's the $43 million of backlog revenue, which we expect about $30 million of that to commence in 2022. $22 million of revenue will actually hit, but it'll be $30 million of annualized commencements and the remainder will come in 2023 and a bit the trails on beyond that. But that's what that backlog represents, is that difference between sold, which is our committed number and our billing as customers ramp in. The reason the Citadel ramped 10 points in terms of billing is we had a large commencements. We had about $23 million of commencements in this last quarter, and that was one of them. The other one was, as you pointed out, was at the Keep, where a large customer began billing in the second sector of that facility. And now that customer will continue to ramp power in. They started billing with certain powered cabinets and certain reserved unpowered cabinets. As those cabinets become powered, they will ramp in to higher revenue per cabinet growth rates. But those were two of the larger commencements.
Gabe Nacht: Right. As we said before, customers tend to accelerate faster than their contracted ramp. But in COVID times, that's a little less predictable than it was previously. But it is a trend that we're beginning to see re-evolve in 2021 and continue into 2022.
Richard Choe: Got it. Thank you.
Operator: Thank you. Our final question for today comes from James Breen of William Blair. James, your line is now open.
James Breen: Thanks for taking the question. Just along those lines and the building versus committed Rock showed at 77% on the committed site and build site. Is there anything that has to be done there to get that up into the 90s, is it a structural issue or is it just increasing sales within that group? And secondly on the CapEx, you said about 20% of the guide from this year is for future projects and sort of the foundation work, I'm assuming, does that apply to sort of the planned development products – projects that are that 2.7 million square feet that you've looked at 2024 and beyond?
Thomas Morton: Yeah. I'll take the second question first. That's exactly what it applies to. It's doing all of the site work and preparation work for the next two buildings on each of the campuses we're developing. LAS VEGAS 15 is opening now. But we've done the site work for LAS VEGAS 14 and 16 at the same time. In Reno, we've got Reno 2 coming online in 2023, but we're also developing the site in pad for Reno3. And in Atlanta, we have Atlanta3 opening in 2023, but we're developing the site of pad for Atlanta4 at the same time. I'm going to let those second buildings go up that much faster and will monetize that savings as well as buildings as those buildings go up. With regard to the rock and its utilization rate, our Texas campus that we purchased from Data Foundry does have some capacity in the Houston Data Center, which we are looking to fill this year. And the last pod has not yet come online. That is coming online this year. But as I mentioned before, a one specific customer took the entire thing, took all 3 megawatts. So as that comes online, that will also be committed and you'll see that 77% number rise.
James Breen: Great. Thanks.
Thomas Morton: And again we're doing everything we can to build and increase inventory as fast as possible because the demand pipeline is robust.
Gabe Nacht: Yeah. And I'd like to - well, that may be our last question. I just I think you're hearing it from Thomas and myself that we are extremely, extremely pleased with our performance this year. We're extremely bullish on what Switch's prospects are. We know that the demand is out there for our product. We build buildings. We will fill them. We don't have to buy any more land. We don't have to negotiate any new telecom contracts. We don't have to negotiate any new legislative agreements with tax authorities. We have everything we need in place to build and fill and build and fill and we think the demand for our industry leading product is out there. So we are super, super excited about Switch’s future.
Thomas Morton: Yeah. As Gabe mentioned, for the first time in really our history, we are pre-selling into not yet built buildings, and that is how robust the demand pipeline is and so our job over this year and backs is to just get buildings into service as fast as possible.
Operator: Thank you. We have no further questions for today. That concludes today's conference call. Thank you for joining. You may now disconnect.